Operator: Good afternoon, ladies and gentlemen, and welcome to the Purple Innovation Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow after the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Cody McAlester of ICR. Please go ahead, sir.
Cody McAlester: Thank you for joining Purple Innovation’s second quarter 2024 earnings call. A copy of our earnings press release is available on the Investor Relations section of Purple’s website at www.purple.com. I would like to remind you that certain statements we will make in this presentation are forward-looking statements. These forward-looking statements reflect Purple Innovation’s judgment and analysis only as of today. And actual results may differ materially from current expectations based on a number of factors affecting the company’s business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements included in our second quarter 2024 earnings release, which was furnished to the SEC today on Form 8-K as well as our filings with the SEC referenced in that disclaimer. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events, or otherwise. Today’s presentation will include references to non-GAAP financial measures such as EBITDA, adjusted EBITDA, adjusted gross margin, adjusted net income, and adjusted earnings per share. A reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measures is available within the earnings release, which can be found on our website. With that, I’ll turn the call over to Rob DeMartini, Purple Innovation’s Chief Executive Officer.
Rob DeMartini: Thank you, Cody. Good afternoon, everyone. With me on the call today as usual is our CFO, Todd Vogensen. We’re also joined this afternoon by Chief Operations Officer, Eric Haynor. While our volume remained challenged in the second quarter, we’re encouraged by the overall performance. We’re making real strides in becoming cash flow positive and delivering improved profitability in what continues to be a very challenging market. We remain focused on the things within our control and are managing our costs, continuing our investments in innovation and marketing, and ensuring our company’s business model is more durable and suited for the market, we expect to remain challenging for the balance of the year and maybe beyond. Our adjusted EBITDA improvements in the second quarter are driven by a focus on better sourcing and improved supply chain operations, and we expect to maintain these gains over time. As a result of the progress we’ve seen, we’re reaffirming our adjusted EBITDA outlook for 2024. However, given the deteriorating industry trends that led to a shortfall in our second quarter revenue, we’re lowering our top line guidance range by $50 million. We remain confident in our longer-term market opportunity for Purple. And our second quarter performance reinforces our belief that our Path to Premium Sleep strategy is moving the company towards our goal of sustained profitable growth. On today’s call, I’ll share some highlights of our second quarter performance, followed by an update on the progress of our five strategic initiatives, of which Eric will discuss the manufacturing and supply initiatives that his team has been implementing and the success of their efforts to improve gross margins. Lastly, Todd will discuss our quarterly financial performance and our updated 2024 full year guidance outlook in more detail. Q2 marked our third consecutive quarter of year-over-year top-line expansion with total sales up 2% in the period. While we continue to navigate a challenging sales environment, we’re seeing encouraging signs that our new products and new brand messaging continue to gain traction with consumers and capture market share. That said, we continue to see variation in performance by channel. Direct-to-consumer revenues in total were down, with showroom gains offset by e-commerce softness, while our wholesale channel experienced growth. Showroom revenues increased 10.6%, driven by an increase in average selling prices from both strategic price adjustments earlier this year in a sizable mix shift into our higher priced Luxe collection from our Essentials and Premium collections. Importantly, we observed a consistent month-over-month increase in mattress average selling prices, indicating strong and growing consumer acceptance of our new product offerings and showrooms. Over half of our showroom locations opened more than 12 months had positive sales in the quarter. In our e-commerce channel, revenue was down 5.7% for the second quarter as our efforts to improve personalization and streamline the website have taken longer than initially expected. Encouragingly, e-commerce gross margins improved meaningfully year-over-year, helped by price increases, lower discounting, and a range of initiatives to lower product costs while maintaining quality. We also were more efficient with our media while still supporting omnichannel traffic. Meanwhile, the partnerships we’ve cultivated with our retailers to expand and showcase our premium assortment led to a 7.2% year-over-year increase in wholesale channel net revenue. This performance was highlighted by solid growth in our top accounts as well as doors we’ve added since last year. As we look to the back half of 2024, we remain focused on five key initiatives to drive sustainable and profitable growth, which are, first, prioritizing productivity in our existing wholesale and showroom doors; second, improving our marketing effectiveness; third, driving e-commerce conversions; fourth, bringing new product and innovations to the market; and fifth, driving gross margin improvement through manufacturing and supply chain optimization, which Eric will discuss shortly. First, we’re prioritizing the productivity of our existing wholesale and showroom doors. In our wholesale channel, we continued to improve the quality of our partnerships and expanded our co-op advertising relationships with several key accounts. Looking ahead, we’re continuing to invest and expect to launch more marketing partnerships in the future, which should drive door productivity. In our showroom channel, as we previously discussed, we’re focusing on increasing the productivity and profitability of our existing fleet. The work we’re doing includes establishing a more focused selling environment, with new demand driving tactics such as mattress carry-out services and increase in-store pillow inventory. Additionally, we rolled out a new consumer financing partnership at the end of May that more closely aligns with industry standards. The new financing should help drive customers to trade up and increase attachment rates of accessories. Along with these top-line enhancements, we continue to improve showroom operating costs through labor and other store expense optimization activities, better enhancing profitability. Second is improving our marketing effectiveness. Our marketing will support profitable growth in two ways, by enhancing creative and by improving media efficiency. In terms of enhancing creative, the premium branding we launched last year in connection with our new product offerings has been outperforming the previous branding. And we believe there’s potential to further evolve the marketing creative to attract more consumers. Purple marketing grabbed attention, educated, entertained, drove curiosity, and inspired sharing. And we believe there’s opportunities to bring more of those elements into our premium branding. Next, we’re focusing on media efficiency through deeper understanding of our customers, their media usage, and their shopping behavior. We’re directing spend to under-penetrated high sales potential geographies, adjusting the cadence of our ad spend to align with consumer demand periods and shifting some of our upper funnel spend closer to key wholesale distribution points. Additionally, we recently moved digital media management back in-house to increase agility and performance. Our third initiative is driving e-commerce conversion. As we discussed on our last earnings call, our focus in Q1 was on improving e-commerce profitability. And in Q2, we turned our attention to driving conversion improvements through personalization and streamlining of the website. We’ve not seen meaningful results yet, and we continue to focus on these efforts. Fourth, we remain committed to bringing new products and innovation to market. As a company born from innovation, we believe that to engage customers, we need differentiated and effective product benefits that reward customers when they trade up. Our Path to Premium sleep strategy is working and is allowing us to weather these difficult times. We’ll continue to invest in innovation to help grow the category and get more people sleeping well. Our customer research and low return rates indicate this direction is sound. Our research and development initiatives are generating new and more cost-effective technologies and intellectual property, which not only helps demonstrate our commitment to leadership in the sleep category, but positions Purple for the next stage of growth. We expect multiple new product launches across our major product categories over the next 12 to 18 months as we continue to drive our Path to Premium sleep strategy and look forward to furthering Purple’s position as the premier sleep innovator. I’ll now turn the call over to Eric to discuss with you our fifth key initiative.
Eric Haynor: Thanks, Rob. It's a pleasure to be speaking with everyone today. Over the last year, our team is focused on driving cost savings through supply chain initiatives and manufacturing efficiency, which has led to a significant breakthrough in gross margin in the second quarter. Gross margin was up more than 1,000 basis points year-over-year and 590 basis points sequentially, exceeding our recent improvement trajectory and meeting our 40% year-end target midway through 2024. When you normalize that for the premium product launch, in fact, in 2023, the gross margin improvement was still noteworthy, up 350 basis points year-over-year. It's a meaningful structural improvement in our volume-dependent input costs that we believe we can sustain going forward. In order to deliver these cost changes, the operations team pulled on four primary levers. First, we delivered direct material cost savings from our supplier diversification efforts, becoming less dependent on sole-source materials. Second, we generated strong efficiency gains in our plans. Third, we're driving improved scrap and yield results from our continuous improvement efforts. And finally, our scheduled delivery program for outbound freight has given us both cost improvements and improved delivery reliability. As I look forward, we're optimistic about additional opportunities we see ahead of us. We still have more supplier diversification work that we expect will deliver savings later this year, and we continue to optimize our outbound freight network. Additionally, our lean manufacturing efforts are already manifesting themselves in plant performance improvements. While there are some headwinds such as inbound freight from overseas suppliers and freight mode mix on some of our outbound delivery costs, we do expect these are going to be manageable, and is not going to limit our ability to improve our cost of goods. We've made great strides to figure out how to run the company profitably at this size, and we believe there's room for continued improvement on all of our input costs, inclusive of landed materials, conversion labor, plant yields, and outbound freight. One last thing I'd like to highlight is that in Q2, we completed deployment of a systemic planning capability that's already given us improved visibility and control over our inventory management. We expect this will provide some nice gains in our inventory cash requirements. All this ongoing work is going to greatly benefit our bottom line and shareholder value as the market rebounds and our growth accelerates. I'll now turn the call over to Todd to take us through the financials and our expectations for the back half of 2024. Todd?
Todd Vogensen: Thanks, Eric. For the three months ended June 30, 2024, net revenue was $120.3 million, an increase of 2% compared to $117.9 million last year. The increase was largely due to the growing positive response for our new product lineup. By channel, wholesale net revenue increased 7.2% in the period, driven primarily by strong demand for our new product line. Direct-to-consumer net revenue was down 1.8% in the second quarter with e-commerce declines of 5.7%, being offset by a 10.6% increase in showroom net revenue. The double-digit growth in showrooms was driven by the addition of four net new showrooms over the past 12 months, along with higher mattress ASPs compared to last year as we continue to successfully sell customers on the benefits of our higher tiered product set. Gross profit was $48.9 million during the second quarter compared to $35.5 million during the same period in 2024, with gross margin at 40.7% versus 30.1% last year. To note, when adjusting for launch costs in the prior year period, our gross margin still expanded by 350 basis points. On a sequential basis, gross profit improved $7.2 million or 17% and gross margin rate improved 590 basis points. The significant improvement in gross margin was largely due to the operational efficiency improvements implemented over the last 12 months that Eric just covered for us, along with comparability to the year-ago period, which contains significant non-recurring costs related to our new product launch. Operating expenses were $63.5 million compared to $75.7 million in the second quarter of 2023. The decrease was driven by an $8.3 million decrease in G&A expense related to the non-recurrence of special costs from 2023 along with the $4.2 million reduction in advertising spend. As a percentage of net revenue, operating expenses improved more than 1,000 basis points to 52.8% compared to 64.3% in the second quarter of 2023. As a result, adjusted net loss in the second quarter of 2024 was $13.8 million compared to an adjusted net loss of $23.9 million last year. Adjusted EBITDA was negative $4.1 million versus negative $21.5 million a year ago. And second quarter adjusted loss per share was $0.13 compared to an adjusted loss per share of $0.23 in the second quarter of 2023. Now turning to the balance sheet. At the end of June, we had cash and cash equivalents of $23.4 million compared with $26.9 million at December 31, 2023. Note that our cash balance does not include an incremental $7.3 million received from an insurance settlement in early July. Net inventories on June 30, 2024, were $69.7 million, down 11.2% compared to June 30, 2023, and up 4.2% compared to December 31, 2023. Turning now to our outlook for the balance of 2024; we outlined our initial guidance for 2024 on our fourth quarter call in March, we discussed how achieving our targets was not predicated on market conditions improving. That said, it did not contemplate industry demand slowing further, following tutors of double-digit declines. This change is the primary driver for us adopting a more conservative top-line view for the remainder of 2024. As a result, we're lowering our full year 2024 net revenue outlook from a range of $540 million to $560 million to a range of $490 million to $510 million. In addition, to current market trends, our updated outlook reflects lower e-commerce sales as we continue to refine our go-forward strategy and prioritize profitability over growth for this channel in the near-term. However, due to our strong gains and operational efficiency, we do not expect the lower top line to impact adjusted EBITDA, and we're reaffirming adjusted EBITDA to be between negative $20 million and negative $10 million for the full year, including our expectation to achieve adjusted EBITDA profitability in the fourth quarter, even at these lower expected net revenue levels. For your modeling purposes, we expect third quarter profit to be impacted by deleverage from lower-than-expected volumes, which will be more than offset by incremental sourcing, production efficiency, and other cost savings in the fourth quarter. And now I'll turn the call back over to Rob for his closing comments.
A - Rob DeMartini: Thank you, Todd. Thank you, Eric. While we remain in a very difficult demand environment, we're committed to focus on the areas we can control and to continue to adapt our business model to ensure we can weather the current market conditions, create the runway to enable the strong brand to accelerate growth when market conditions improve. We expect to exit the year with stronger gross margins, improved cost management and effective marketing and innovation investments that will produce positive cash flow and enable continued investment in growth. There is no question about this brand's staying power. People want and love Purple. Purple has the highest satisfaction rate in the category with 98% of customers loving their Purple mattress, a testament to the integrity of our innovative products. That strong satisfaction and brand affinity leads to consumers talking about our brand. Our unaided brand awareness is second highest in the category, with many of our customers coming to purple from friends and family recommendations. This category needs innovators and brand investors. We have been and continue to be committed to growing the category through product innovation, marketing awareness, and omnichannel availability. I'd like to end by thanking our partners, suppliers, and customers as we continue to navigate this young company through very difficult market conditions. I'd also like to thank all our Purple associates for their commitment to help more consumers sleep well. Operator?
Operator: [Operator Instructions] Our first question for today will come from Bobby Griffin with Raymond James. Please go ahead.
Bobby Griffin: Good afternoon, everybody. Thanks for taking my question and congrats to the team on the nice improvement in gross margins.
Rob DeMartini: Thanks, Bobby.
Bobby Griffin: I want to start, could you maybe just talk a little bit about the progression of the quarter and kind of what you saw throughout the quarter from a demand perspective? Did it get better as we move through the quarter and into July and early August? And then kind of as a second part to that, I know we only have – I know we rolled out the new financing tool at the end of May, so we only have two months. But have you seen anything noteworthy in those two months post that new financing offering within the showrooms?
Rob DeMartini: Yes. Bobby, let me answer both of those, and I'll answer them in reverse order. I think the financing is clearly driving trade-up and attachment in our showrooms. ASP for mattresses is up 8% across the business and up a staggering 32% in showrooms quarter versus a year ago. Now be careful with that 32% because that was when we were liquidating, getting ready for the launch, but at least half of that is absolute trade-up in dollars. That's being driven by financing. It's not working as well for us in e-commerce, and we're still trying to figure out what that is where we still offer two different partners, so that's on us and executional. But yes, we do believe that it will drive – it will help enable the path to premium sleep strategy because that's built on trade-out and it will improve attachment, and in showrooms where we have the most control of it, it is working. And the first part of your question was on the shape of the quarter. And it was relatively steady through the quarter. It got a little softer as the quarter went on and more volume concentrated around the holidays, which has been a continuation of what we have seen. Our e-commerce business was weak in volume, but strong in margin. And I think we've got – we're just sharing that concern in the year to go on the top line.
Bobby Griffin: Okay. Very good. And then maybe one for you, Todd, just on 4Q moving to positive adjusted EBITDA, would that translate into positive free cash flow as well? Or do we still have a little bit more work to get the business towards positive free cash flow?
Todd Vogensen: Yes, it will translate into positive free cash flow. We have a number of things that Eric and team are working on around inventory management, which provides an opportunity for us from a working capital perspective. And that positive EBITDA really does drop through to cash very quickly for us.
Bobby Griffin: Okay. Very good. And is there any – just quickly, just for housekeeping, it looks like CapEx is running roughly $5-ish million or so year-to-date. Is $10-ish million a good estimate of where it'll end this year? Is there a little bit more spending in the back half?
Todd Vogensen: No, it should be pretty ratable. So at $10 million, that is a fair estimate for the year.
Bobby Griffin: Okay. I’ll jump back in the queue, internally or somebody else, but I appreciate the details and congrats on the gross margin side of things?
Todd Vogensen: Thank you Bobby. Thank you.
Operator: The next question will come from Brad Thomas with KeyBanc Capital Markets. Please to ahead.
Brad Thomas: Hi. Good afternoon. And that's a good segue to talking about the wonderful gross margins in the quarter. I was hoping maybe we could talk a little bit about how you're thinking about gross margin playing out in the back half of the year. And how, if at all different to think about the long-term opportunity here for gross margin?
Eric Haynor: Thanks Brad. This is Eric. I'll take the – basically how we think we're going to deliver it and the long-term prognosis. As we talked, we've got the four levers that we're pulling on, which is our material cost by diversifying suppliers, efficiencies in our plants, eliminating scrap, and optimizing our freight. And we haven't run out of ideas there. So we've got more that's dropping, particularly in Q4, and we have expectations that we'll continue to have areas to optimize that going forward. And how does it play out for the year, what that will mean for us is we are going to see a little bit of headwind on margin in Q3 just due to deleverage as we're adjusting our production volumes to be more in line with our revenue guidance that we gave today. But that is more than offset by some of the opportunities that we have, especially around supplier diversification, operational efficiencies as we get into Q4. So that puts us in a place where that 40% plus is very much a sustainable rate for us that we can grow from over the long term.
Brad Thomas: I appreciate it. And if I could follow-up on the sales outlook; if we're doing the math right, it looks like the second half guidance goes to where you're projecting revenues to being down somewhere in the neighborhood of 5% to about 12%. For one, are we doing the math right? And for two, can you just help us get a little bit more flavor for what it is that's driving that level of the deceleration of the business?
Rob DeMartini: I think, Brad, I think it's two things. One, our comps are tougher in the back half because of the launch last year. But the bigger driver is we're just not seeing people come to buy mattresses. And we did 120 in the first two quarters. The low end of the range would see a modest improvement from that and the high end of the range would see a bit more medium improvement from that. I just don't see the signals that this thing is about to get healthy in the short-run.
Brad Thomas: That's really helpful perspective, Rob. And just a follow-up on that, if the environment stays tough like this for another six months, can you help us think a little bit about what revenue or marketing strategies you may be employing in the future to try to gain some additional traction here?
Rob DeMartini: Let me start out with something that we didn't put in the script, but I think as you guys work on your models. Well, we're protecting the profit in the year, we are maintaining our marketing investment, and we're maintaining our innovation investment. So that those are levers that haven't been pulled to protect the bottom line, and we don't want to. As the year unfolds, we'll obviously have to do whatever we have to do. But I think in general we need people investing in this category at the rates that we are, and we're going to try to hold our ground and best position the company to perform in this market today and be ready for a market that gets better at some point.
Brad Thomas: Very helpful. Thanks, Rob.
Rob DeMartini: Thank you, Brad.
Operator: The next question will come from Matt Koranda with ROTH Capital. Please go ahead.
Matt Koranda: Hi guys. Just maybe wanted to get a finer point on the third quarter commentary that you gave there, Todd. So you mentioned it sounded like volume down potentially year-over-year. Any finer point on just the revenue split that we should assume for the third and fourth quarter? And then you said deleverage on gross margin in the third quarter, I would assume you mean sequentially on the deleverage commentary. Any commentary around the magnitude of that deleverage that we should expect in the third quarter and then what we have to make up for in the fourth quarter to hit that profitability number?
Todd Vogensen: Yes. So first, you are correct. It was meant to be a sequential comment. So we were at 40.7% in Q2. The deleverage should be fairly modest from that, so I would expect to see a little bit lower gross margin rate as we go into Q3, but then more than offset as we go into Q4. And to put a finer point on the volume, it's really production volume that we're talking about. The sales volume should actually be sequentially up in Q3 versus Q2. But what flows through the P&L, obviously, is the value that we're producing against, which we've adjusted to reflect that lower revenue guidance relative to what we had originally been expecting as were planning out our production for the year. So that's the dynamic that's playing out as we go into Q3 and that kind of rights itself as we go into Q4.
Matt Koranda: Okay. Got you. And then just, Rob, I guess you mentioned a willingness to continue to spend on sales and marketing as we head into the back half of the year, so we're not necessarily aiding profit by cutting into those. Can you just speak to where you're seeing opportunity to lean into marketing? Are we seeing anything in digital? What's the – just the state of play there and how we think about sort of the – whether we're increasing that line item sequentially in the back half of the year?
Rob DeMartini: Yes. I don't – Matt, I don't think we see enough to increase it. We are going to hold it. And we are, Keira, is working on as I said in the script, trying to get a little more breakthrough into our media. We know it's performing better than what we've been running lately, but it's not back to that level of kind of viral leverage that Purple had a number of years ago. I don't know that we can get back to that in this market, to be honest, but we can do better. The second thing we're doing is trying to put it closer to point of consumption. That's the partnerships with retailers, that's spending closer to the showrooms while continuing to invest heavily in digital. So since you're constantly trying to make that significant investment work harder, we are an over-investor, we're trying to build the category and try to build our business in the process.
Matt Koranda: Okay. Got it. Maybe just one more quickly on the balance sheet. Todd, you mentioned there was a $7 million positive, I think, after the quarter closed. So that's not included in the cash in the second quarter, given that we're sort of inflecting to EBITDA positive in the fourth quarter and you mentioned free cash flow should be positive. Is it a fair assumption to say that 2Q might have been the trough in cash for the year? It just seems like a reasonable way to do the math, but I wanted to hear your thought on that?
Todd Vogensen: No, you're thinking about it right. So yes, getting to a point where when you do the pro forma of adding that $7 million insurance settlement into it, if it had been there at the end of Q2, our cash balance would have been about $31 million. As we look at opportunities around working capital as we get to the point of being EBITDA positive and cash flow positive in Q4, we certainly plan to see cash returns to healthy rates and be sustainable, if not growing over the course of the rest of the year.
Matt Koranda: Okay. Very helpful. I'll leave it there.
Todd Vogensen: Thanks.
Operator: The next question will come from Seth Basham with Wedbush Securities. Please go ahead.
Seth Basham: Thanks a lot, and good afternoon. My first question is a follow-up on marketing. So if you could just give us some more color on the new co-op marketing program that you're doing? What's different about them? Are you adding more funds? Are you getting more discretion to how those funds are being spent? That would be helpful.
Rob DeMartini: Yes. Both of those things, Seth, we put more money available to invest, trying to harness what our customers do. They spend a lot of money and our advertising can't fit into theirs, and we've seen good progress to that. So it's both of those. It's putting more money out there at that point. In fairness, it's the same dollar being moved closer to the point of consumption, and then having more latitude with how they use it. If we get a positive return for both of those, then we want to keep investing in it. I think it's clear that our transactions trade up the category. Our advertising swings the doors for our partners. And ultimately, there's no substitution if a consumer wants Purple, right? And I think part of what we've got to do is build our way out of being positioned as a bed-in-the-box category or in that niche and being seen like the category leader is as a category builder, and we're working hard to make sure we do that.
Seth Basham: That's helpful. And do you think you're sacrificing some advertising and/or traffic/sales on the e-commerce channel, given what you're moving to the wholesale channel?
Rob DeMartini: Yes. Seth, it’s maybe. Something we’re watching very closely, our absolute traffic level is down a bit, our Engage traffic is up, and conversion is what we’re struggling. So the money is there, and the traffic’s there digitally. We’ve got to figure out how to convert it better. But we are watching that because we don’t want to swing one direction or two. We’ve got omnichannel brand and needs to be competitive in every channel. So we’re trying to get that balance right.
Seth Basham: Right. Okay. In terms of the personalization and website streamlining efforts, can you have some color on what you did there and what the next step forward is to get more progress?
Rob DeMartini: Yes, I mean – Seth, a year ago, when we launched this new line, we brought some great products to market. But I think what we’re learning is that within in an unassisted sale online. It’s not working as hard for us as it is in the assisted channels, both ours and our customers. I talked about the ASP. It’s up 8% in total, 15% in wholesale, 32% in showrooms, and it’s flat on e-com. Now some of that’s shape of the mix. We do more Essentials business on e-com than anywhere else as it should be. But I want to see that needle moving, and it’s not yet. So as I said in the script, we’ve worked a lot on personalization. I can’t translate it for and what’s it’s doing for the business yet.
Seth Basham: Got it. So as you think about the outlook for that revenues going forward, even beyond 2024, do you think we could shift to see DTC channel being less than half the company’s sales?
Rob DeMartini: No, I don’t. We are – we want the business to be 60/40. It was 56/44 in the first – in the second quarter. We’ve never had wholesale above maybe 46/47 in total. And we don’t think it will be there. This is a unique brand that is best service where it’s experienced at retail, and that’s both our showrooms and wholesalers. But we don’t see it swinging 60/40 wholesale.
Seth Basham: Got it. All right. Thank you very much.
Rob DeMartini: Thanks, Seth.
Operator: Your next question will come from Brian Nagel with Oppenheimer. Please go ahead.
Brian Nagel: Hey, good afternoon. Thanks for taking my questions. So I guess the first question I want to ask – you, obviously, talked a lot about just sort of now more challenged backdrop. We are hearing this similar sentiment from other companies in your space and around consumer. The question I have is, as you’re looking at Purple, particularly with the initial success of some of these new products, assuming that the backdrop remains challenged, are there levers that you could pull to drive the business here? Or are you really at the mercy of the backdrop?
Rob DeMartini: No, we’re not going to be at the mercy of the backdrop. I think what you – and Eric referenced this, we’re controlling what we can control. And we’re going to continue to manage this business as if this is the category we have to deal with. I think probably in my tenure, that’s a little more aggressive and less waiting for the market to get better because I don’t know when it’s going to get better. But what I don’t want to do is put our growth, put our profitability, or put off the positioning of this brand to do well in this market. If it gets better, great, we’ll be ready, but we’re going to make sure that we compete in this size market now.
Brian Nagel: That’s helpful. And then I guess secondly, this is probably somewhat related. But obviously, congrats on you like what you’ve had – you had nice gross margins in the quarter, and that’s a testament to the kind of the repositioning of the brand. From a sector perspective, are you seeing more promotions out there? Is that a component now of this more difficult backdrop?
Rob DeMartini: I think it’s encouraging. We’re not seeing deeper promotions or discounts. Some of the progress in margin, number one, we have to stay competitive. And we’ve seen either flat or modestly down discount levels. What we are seeing is a concentration of volume behind those deeper promotional periods. And I think you’ve heard other players who report that. I think the consumer is just both savvy and stingy, and we got to earn their business. And they’re smart enough to know that every three-day weekend is a mattress holiday.
Brian Nagel: Much appreciated. Thank you.
Rob DeMartini: Thanks, Brian.
Operator: Your next question will come from Jeremy Hamblin with Craig-Hallum Capital Group. Please go ahead, sir.
Jeremy Hamblin: Thanks for taking the question. I wanted to come back to the revenue guidance cut. And if you look at the $50 million change, I wanted to get a sense of how much of that is coming out of what you previously expected wholesale to be versus DTC.
Rob DeMartini: Jeremy, I don’t think we’ve broken it that way, but we can get close for you. I mean $8 million of that $50 million already happened in Q2. So that’s about $42 million at the back half. And it is – we’re seeing nice progress in showrooms. It’s split mostly between e-com and wholesale in about equal. Does that seem right, Todd? It's about from what our forecasts were.
Todd Vogensen: It does. So I think we might be seeing slightly more pressure on e-com as we’ve looked to improve some of the conversion things that we’ve talked about. But it is largely being driven by our read of the overall market, which impacts both of those channels equally.
Jeremy Hamblin: Great, helpful. And then just looking ahead a bit here. As we think about plans over the next few quarters here in trying to reinvigorate top line, what do you anticipate in terms of wholesale door growth? Or how aggressively you go after whole wholesale door growth given some consolidation here in the industry? And then secondly, how does that make you think about your own potential Purple showroom growth as we move forward into like 2025?
Rob DeMartini: Yes, Jeremy, our long-range view on our own showrooms really hasn’t changed. It obviously slowed down as we became a bit cash pinched. As Todd said, I believe we’re working our way through that. And I want to see us get back into the business of growing those showrooms. They’re by far the stickiest sale we make. They are the highest value sale we make. And we also know that a meaningful amount of traffic goes to a showroom and then visits a wholesale partner and purchases it later. We’re in non-mattress purchasing locations, if you will, but very high traffic locations. So a lot of what comes. Typical mattress store might close at 30% or 40%. We are a fraction of that because of the different location. So we want to get back into that business. And part of what I said on the earlier question is keep the business 60% DTC. Beyond that, the changes in the landscape of wholesale, I don’t want to predict what’s going to happen there. It’s – you’ve got significant consolidation happening in a couple of places. Obviously, Tempur, Mattress Firm, and then Ashley Resin as well. Here’s what I do know. We grow the transaction size. We’re very profitable for our partners. Our consumers have a 98% satisfaction level, and you can’t substitute something else for Purple. I want to – think that’s something I haven’t stressed enough. I mean you can substitute another mattress product, but if you’re interested in the benefits of grid, you got to come to us. And so that should make us a healthy omni brand, regardless of who owns the retail. And so I think that’s going to dictate why this brand can grow long term with an omnichannel trade-up strategy.
Jeremy Hamblin: Got it. Let me ask the question slightly differently. In terms of thinking ahead to 2025, would you expect your wholesale door count to be up?
Rob DeMartini: Yes, I mean, we’re up 168 doors from same quarter a year ago. But again, door productivity is the most effective way, in my opinion, to grow doors. Chasing doors for door sank is a declining way to go at this. If we create profitable business for our customers, satisfied consumers and we trade up the transaction, the doors are going to find us.
Jeremy Hamblin: Got it. Thanks so much for taking the questions and best of luck.
Rob DeMartini: Thanks, Jeremy.
Operator: The next question will come from Keith Hughes with Truist. Please go ahead.
Keith Hughes: Thank you. You had talked earlier about the reduction in marketing. It was about $4 million. Can you talk about what are you looking at for marketing spend in the second half of the year versus prior year?
Rob DeMartini: Versus prior year I think that is what that reduction is, right? It’s $4 million on the half.
Todd Vogensen: Yes, it will be a little bit more centered around Q3. We had a fair amount of marketing that was very top of funnel that came with the launch last year. And so a lot of that we won’t be wrapping around on because it frankly wasn’t as productive as what we’d like to see. But generally, if you’re looking at about that $4 million to $6 million range for the back half, that is right in there.
Rob DeMartini: And Keith year-on-year, we haven’t changed the commitments and what we started with by more than $1 million.
Keith Hughes: Right. Got it. And the $4 million to $6 million, what kind of percentage change is that year-over-year in the second half roughly?
Todd Vogensen: Probably to the tune of around 10%.
Keith Hughes: Got you, okay. Okay, thank you.
Rob DeMartini: Thanks, Keith.
Operator: The next question will come from Michael Lasser with UBS. Please go ahead.
Dan Silverstein: Good afternoon. This is Dan Silverstein on for Michael.
Rob DeMartini: Hi, Dan.
Dan Silverstein: Hey team. Just two questions. Just firstly, what does the new financing agreement allow you to offer customers that you couldn’t provide before? And what can you flex in terms of promo offerings to drive incremental engagement?
Rob DeMartini: Dan, I want to be clear on this. We think this doesn’t really put us in an advantageous position. It gets us to be competitive. And it allowed us to offer – it allow us to offer 0% at kind of a competitive level to what the market is at. It changes by price points. I’m not dodging the answer, it’s just a bit confusing. But it’s a fully competitive offer with kind of the mattress retailers that are out there that offer financing as part of their transaction. It’s not the longest I’ve read, but it’s right in the middle.
Dan Silverstein: Got it. Okay. And then just zooming out a bit, how do you view your moderated outlook for sales in the back half relative to the broader industry? And if there’s anything you can share in terms of metrics on aided or unaided awareness or NPS scores today versus a few years ago, just to give us a check on where the brand’s health is today ahead of a recovery for the industry.
Rob DeMartini: I mean, our unaided awareness is second highest to the category leader. We invest in advertising above our share of market sharply by about 50%. And we don’t have that same viral nature that Purple had when it kind of first no pun intended came out of the box, but when it was first being sold. But it is still a very well-regarded brand, and I think the brand is healthy. And honestly, 2% sales growth in the quarter, I think, it’s going to show up in the middle or better when everybody else kind of comes out with their numbers. As far as the category goes, this is the ultimate delay of purchase. And until people start moving again, I don’t think you’re going to see a return to the higher level of units that we saw COVID and going into it.
Dan Silverstein: Thank you.
Rob DeMartini: Thanks, Dan.
Operator: This concludes our question-and-answer session as well as our conference call for today. Thank you for attending today’s presentation. You may now disconnect.